Rune Sandager: Hello, everyone, and welcome to GN's conference call in relation to our Q2 results announced this morning. Participating in today's call is Group CEO, Peter Karlstromer; Group CFO, Soren Jelert; and myself, Rune Sandager, Head of Investor Relations. The presentation is expected to last about 15 minutes, after which we'll turn to the Q&A session. The presentation is already uploaded on gn.com. And with that, I'm happy to hand over to Peter for some opening remarks.
Peter Karlstromer: Thank you, Rune, and thank you all for joining us today. In the second quarter, we have continued our strong execution across our company and we're very pleased with the results we're reporting today. Hearing continues to deliver very strong performance with continued double-digit organic revenue growth and further improved profit margins, even on top of an exceptionally strong quarter last year. We have also recently launched additions to our successful ReSound Nexia and Beltone Serene portfolio. In addition, we have released software updates that make our fitting software even better. This will further strengthen our offering and help to continue hearing strong momentum. In enterprise, we have also executed very well. We defend our market-leading position, while improving our margins in a market that is undergoing a recovery. We have recently launched new software with the Jabra+ application for admins which is further strengthening our core enterprise offering. In gaming and consumer, we delivered strong organic revenue growth. We gained market share in gaming while improving margins in a slightly growing market. We also launched Arctis Nova 5 headset that have been very well received in the market. While delivering strong results across our divisions, we have also continued to transform the group. The One-GN transformation continues well and delivered another DKK100 million in the quarter. Furthermore, we have taken successful steps in the wind-down of the Elite and Talk product lines in line with our plans earlier communicated. And as just announced, we have also divested our Danish hearing aid retail business, which lies outside of our hearing wholesale and partnering strategy. In summary, we are very pleased with the quarter. We continue to strengthen our results while transforming GN for a successful future. With this high-level introduction, I'm happy to hand it over to Soren for further details on the group performance in the quarter.
Soren Jelert: Thank you, Peter, and thank you all for joining us today. On a group level, we managed to deliver yet another quarter with 5% organic growth, which led to a reported EBITA margin of 8.3%. If we exclude the extraordinary costs incurred during the quarter, the underlying EBITA margin ended at 11.8%, which is 2 percentage points higher than last year. Finally, our solid earning levels led to a free cash flow of DKK155 million. Moving to the financial details on Slide 6. The solid 5% organic revenue growth was supported by a growth margin of 51.9%. This gross margin level was driven by a business mix and group synergies while being partly offset by retail disposals and extraordinary costs related to the gradual wind-down. R&D investments were slightly up year-over-year, which was primarily a reflection of the timing effects of product roadmaps and the DKK95 million extraordinary write-down in relation to the consumer product lines. Management and admin costs were -- as well as sales and marketing costs were essentially flat compared to Q2 of last year. Consequently, EBITA, excluding extraordinary costs, increased by 31%, reflecting a healthy top line development, the gross margin improvement as well as stable development in OpEx. Our solid earnings levels led to a positive cash flow of DKK155 million, driving a further reduction of the adjusted leverage which ended at 3.9. With that, let's move to Slide 7 and more details on the free cash flow generation. As mentioned, the free cash flow ended at DKK155 million in the quarter, reflecting a solid earnings level. In the quarter, we saw limited change to net working capital. This is a large contrast to last year where we managed to reduce net working capital significantly as a result of inventory reductions as well as a one-time positive effect on trade payables from a new commercial agreement. With a solid cash flow generation, our adjusted leverage ended at 3.9 times, which marks the first time since 2021 that our leverage is below 4 times. We remained focused on a continued steady deleverage plan which we shared on the Capital Markets Day. Moving on to Slide 8 and a very brief status on the One-GN integration. We remain on track to deliver around DKK800 million in cost synergies by 2026, of which DKK400 million is expected in '24. And during the quarter, we managed to realize synergies of around DKK100 million. Year to date, we have now realized total synergies of around DKK190 million. We remain confident about our ambition for '24 as well as for '26, which should further de-risk the company's profile over the coming years. And with those group highlights, I'm happy to hand you over to Peter for some additional colors on the three divisions.
Peter Karlstromer: Thank you, Soren. I'm starting with our hearing division. During the quarter, we continued to drive market share gains driven by the continued success of ReSound Nexia. As a result of our strong execution, we grew organically by 10% and improved our divisional profit margin by 5 percentage points compared to last year. And let me just remind you that the 10% growth came on top of the 15% growth we did same quarter a year ago. The gross margin increased strongly compared to last year, despite the retail disposals we made, including BelAudicao. This was driven by group operations synergies as well as a continuous success of ReSound Nexia. Sales and marketing costs decreased slightly compared to last year, including launch costs and retail disposals. As a result of our strong top line development and prudent cost management, we delivered a divisional profit margin of 33.4%, which was an improvement of 5 percentage point compared to last year. Let's move to the Slide 11 on some more details on our performance. Our 10% organic growth was broad-based across regions, channels and countries, and in all regions, we grew faster than the market. In North America, we had a broad-based success, including a solid uptake of Nexia in VA. We are still not satisfied by our market share level here, but we are convinced that we can drive more success over the coming periods. In Europe and our rest of the world region, we continue to do well. Markets with particular strong growth includes Spain, UK and India. To support the current strong momentum, we have also launched new products and feature to the Nexia family. The new products include our smallest wireless ITC hearing aid in a non-rechargeable design and a new wireless rechargeable CROS BTE solution, both which connect the Bluetooth Low Energy Audio and Auracast. We have also recently launched the world first remote microphone with Auracast. To further support the customer experience, we have also made some updates to our fitting software and introduced ReSound Smart Fit 2.0, which has a significantly improved user interface and allows for smoother, smarter and more personalized fitting experience. With this brief overview of the hearing division, let's move to the enterprise division. The enterprise division delivered a negative 3% organic revenue growth in the second quarter as we continue to see a market that's gradually stabilizing while still being slightly down year-over-year. The development in the quarter reflected a flat development of our headsets, while some headwinds to the speak category compared to high levels a year ago. Gross margin improved compared to last year, primarily driven by group operation synergies. Our sales and marketing cost decreased slightly, including continued channel investment that was more than compensated by broad-based cost control. As a result, our divisional profit margin increased compared to a year ago, reaching a level of 35%, essential in line with the first quarter margins. Moving to Slide 13 and some more details on the market stabilization. The market has continued to stabilize. The overall enterprise market was slightly down in the quarter, driven by speakerphones, while the market growth in headsets was flat, which is encouraging step in the process to return to growth. If we look at adjacent enterprise categories, we continue to see positive signals on leading indicators. As an example, IDC estimates PC to have grown by 3% in the quarter, while Gartner is confirming the overall IT device spend growth of 4%. The spend across device categories are uncertain, but it is encouraging to see the current supportive outlook to spend levels in aggregate. We have earlier communicated that we believe the market will return to growth in the second half of this year. This is still our best assessment. As it looks like now, our latest observation point to market returning to growth towards the end of '24. And with that, let's take a closer look on the gaming and consumer division. In our gaming and consumer division, we delivered strong results with the division growing organically by 12% compared to last year. Our gaming business grew 12% organically in a slightly growing market. In consumer, we have seen a strong initial uptake of our recent launch through wireless products, leading to 14% organic growth. The growth was also supported by somewhat higher promotional levels related to the wind-down of the Elite and Talk portfolio. Our gross margin for the division increased 7 percentage point to 31%, excluding extraordinary wind-down cost reflecting group synergies and a more normalized promotional activity level in gaming. We did some deliberate investments into sales and marketing in the quarter as we are preparing for an important second half of the year. Altogether, the divisional profit margin ended at 9%, excluding the wind-down cost, which is 6 percentage point higher than Q2 last year. In gaming, we are encouraged by the initial strong reception of the newly launched Arctis Nova headset, Arctis 5 headset, I should say. This new headset come together with our recently launched companion app with over 100 audio presets which takes our leading gaming experience now also to console players around the world. Let me move to Slide 15 and update you on our recent announcement on the consumer portfolio. In June, we announced our intention to gradually wind-down our Elite and Talk product lines, which is 80% of the reported consumer business. Our profitability in this segment has been challenged for a number of years and we believe the competition will further intensify, making the category even more challenging over time. Consequently, we decided to make a gradual wind-down which allows us to increase focus and resources on more attractive parts of the GN business. Now, a couple of months into the wind-down process, we are tracking according to plan and we still accept to complete the wind-down by the end of this year. As we announced, we estimate that the total cost related to wind-down amount to around DKK200 million. We are tracking this well. And in the quarter, we have taken cost around DKK155 million, primarily related to asset write-downs of inventories and R&D. While we are winding down the business, we are keeping the strong people we have in the product making. They will turn the focus to develop a leading portfolio for frontline workers and through wireless type of offerings for other segments across our company. Reporting-wise, the remaining BlueParrott business will be moved to our enterprise divisions from 2025. And with that, I'm happy to hand back to Soren for the financial guidance.
Soren Jelert: Thank you, Peter. We are confirming our financial guidance for the year that we communicated on June 11th. We know that there's still a lot of work during the rest of the year, but we are definitely on the right track, given our strong execution in the first half of the year. For '24, we expect group organic revenue growth of 2% to 6%, driven by solid execution across all three divisions. The guidance is, among other, reflecting the divisional assumptions we presented at the beginning of the year. Compared to the beginning of the year, we are now trending towards the upper half of 8% to 12% growth assumption in hearing. In enterprise, we are yet to see the market turn into growth and as a result, we are now trending towards the lower half of the minus 3% to plus 5% assumption which is a direct consequence of the market development. Following the announcement in June, we provided some indications on the impact specifically for consumer. Applying this assumption of the negative DKK450 million revenue impact, that would translate into an updated assumption for the entire gaming and consumer division of minus 10% to minus 2%. Now, a few months later, we continue to believe that consumer will be impacted by around negative DKK450 million in revenue compared to 2023. With the strong execution in gaming in the first half of the year, they are now trending towards the upper half of the original 2% to 10% organic growth assumption. Concluding on a group EBITA level, we continue to expect reported EBITA margin of 12% to 13% for the year. And finally, we expect free cash flow, excluding M&A, of more than DKK900 million for the year. And with that, I'm happy to hand you back to Rune.
Rune Sandager: Thank you, Peter and Soren for the updates. A quick practical remark. In line with earlier years, we are happy to invite you to our investor and analyst presentation in connection with EUHA on October 17 this year in Hanover. Formal invitations will be shared later. And with that practical information, I will hand over to the operator for the Q&A. Please limit your questions to two at a time, please.
Operator: [Operator Instructions] The first question is from Marco Pires-Cox with Barclays. Please go ahead.
Marco Pires-Cox: Hi. Good Morning. Thank you for taking [Technical Difficulty]
Rune Sandager: Sorry. Marco, sorry, your line is breaking up very badly. Can you please try again?
Marco Pires-Cox: Hello. Can you hear me?
Rune Sandager: That's better. Yes.
Marco Pires-Cox: Perfect. So, firstly, just on hearing, if we look at the VA, clearly Nexia has performed pretty well so far since your launch. One of your competitors talked about general market weakness in the channel driven by staff challenges and shortages, as well as budget constraints. I wonder if you're seeing the same from your end and whether there's been any difficulty on your side for your sales rep to get face time with VA hospitals. So an update there would be great. Secondly, just on the enterprise and gaming businesses. So, clearly, there's still some challenges remaining in enterprise, and you've now pushed out your assumptions for recovery back to the later half of H2. I was just wondering within this, are you seeing this particularly driven by the size of certain customers? Is it more larger contracts that you're seeing more of a slowdown? And what is driving the differential between the recovery in the gaming market versus the slower recovery we're seeing on the enterprise side? Thank you.
Peter Karlstromer: Thank you for your questions here. Taking them in the order you asked them. On hearing VA, I must say we have not picked up these type of challenges from our teams. I don't know if that is because we're coming from a slightly lower level and have a lot of opportunities to grow, but we have no particular concerns. We think that Nexia is well received in VA. We're seeing some good initial healthy momentum. We obviously have higher aspirations over time, and the team is very committed to work here for mid to long-term success to build up the market shares here. So no real worries here from our side. Then some more nuances on the enterprise recovery. I think it's fair to say that it's taking place now towards the end of the year. We obviously would have hoped it would take place a little bit earlier. I wouldn't get too worried about this. It's a change of some months. It's always difficult to predict recoveries in a precise way. All the encouraging signs are still taking place. I mean, overall, enterprise equipment spend has returned to growth. We see some adjacent categories in growth. And also, as I mentioned, even within our enterprise business, we're starting to see parts of the portfolio now getting into more flat market territory. So, we see a lot of healthy signs pointing to now a recovery gradually taking place. Within that, there's a lot of nuances if you look on customer types, regions, and so on. And of course, we are quite close to getting to a flat and growing markets. Part of our business is actually growing. I think it's hard to point any real conclusions from that. It's probably more part of a formation pattern here, getting back to growth. But bottom line, we feel encouraged what we see, and not too much have changed from us discussing this in previous calls. Compared to gaming business and so, I mean that business, the market is in slight growth now, and then we are gaining significant market shares in that slightly growing market, which is, of course, encouraging. It's a quite different market with different dynamics, and it's, of course, consumers rather than companies buying. So, I don't think you can draw too strong conclusions between them. But it is encouraging to see the gaming market also has become stronger. And it's not fully back to structural growth rates, but it's been taking healthy steps forward also. Thank you.
Marco Pires-Cox: Thank you. And maybe just a quick follow-up on enterprise, maybe just on video. How did you perform in video in the quarter? Do you still think you're gaining share there, or are you also seeing some of the weakness in broader enterprise in the video segment?
Peter Karlstromer: No, in video, we continue to take healthy steps in building the business. We performed quite a bit stronger than the video market in the quarter, but from a small base. So, it's not influencing the overall enterprise number that much at this point in time.
Marco Pires-Cox: Thanks.
Operator: The next question is from Martin Parkhoi with SEB. Please go ahead.
Martin Parkhoi: Yes. Martin Parkhoi, SEB. Just to continue on the enterprise side because, Peter, you say that it's not a big deal. Now, it's just towards the end of the year instead of during the second half. But doesn't it change anything on the longer-term growth targets that you described for enterprise in connection with the Capital Markets Day? The later rebound happened this year. Does it make it less likely that you can go up towards such a level in 2025 on par with your long-term targets? And then on your hearing aid divisions, just a question on there. Have you picked up any market share or expect to in the managed care part of the business following your Danish colleague Demant’s decision to -- on not a decision, but its decision to change brand and strategy with the consequences that it has? And then just to follow up on the VA, can you talk a little about the VA negotiations right now? Do you think there will be a decision on the 1st of November as they normally are?
Peter Karlstromer: Okay. Thank you so much for the questions. Enterprise next year, it's obviously a little bit too early to get too precise on next year. But I would not get too much worried about next year, thanks to this. I think it's more encouraging to see that the kind of progress in the market is taking place. I mean, at the Capital Markets Day, we talked about more like a structural growth rates for the headset business, around 3% to 5% in the market. That's still very much what we believe is the right way to think about the market. Exactly how it plays out for next year, I think we need to come back to, but as I said, I mean, if you look for headsets alone, we're around flat now. So, we're not too far away from the bottom end of that. So I'm still hopeful we will see a continued recovery of this market. But we look forward to update you, of course, here in the coming quarters as we learn more and have better visibility into next year. Then on the hearing-related questions, on the managed care, I think I mean we grew our business across the world with 10%. So obviously, we have been growing faster than the market in most regions. That's probably true also a bit in managed care, but I don't think we have had any dramatic growth related to the changes of our competitors so to say. It's been more a natural growth evolution that we've seen over time thanks to the strong portfolio we have in the market. And then in the VA, I mean, as it looks like now, that decision you referred to in the November time frame, it has now been moved to the May time frame, so it's a little bit further out in time. So, of course, something we keep a lot of attention to, but it's less near term than initially was.
Operator: The next question is from Veronika Dubajova with Citi. Please go ahead.
Veronika Dubajova: Hi, guys. Good morning. Hope you can hear me okay.
Peter Karlstromer: Absolutely, hear you well.
Veronika Dubajova: Perfect. Excellent. Look at this, my job, our headset still works. A couple of questions please, if I can. The first one is just the market environment in hearing. And I guess there's two parts to this, Peter. I think when we reflect what we've heard from your customers and competitors, two [0:30:18.6] themes come up. The first one is that the market is maybe a little bit softer than people had been hoping. And I'd love to get your thoughts on what you're seeing and what you think is happening, I guess in Europe in particular. And then the second theme that's been coming up a lot through your peers' reporting is a high degree of competitive intensity, in particular on price. And just curious whether that is sort of an observation that you would share and to what extent that is driven you think by channels and exposure versus individual company behavior. And is this something that concerns you as you look into the back half of the year and into 2025? And then I guess related to that, if I kind of look at the first half of the year, you've obviously done 12% growth rate. For you to come in at 12% for the full year, you'd have to maintain this momentum in spite of some new competitive launches. So just curious how realistic you think that is versus maybe the 10% for the full-year guide. I'll leave it there. I have some enterprise questions as well, but maybe we can get hearing out of the way before we move on to that.
Peter Karlstromer: Okay, thank you. Let's do that. First, the market environment. And so, it's probably true we've seen some small movements, an indication of softer environment, but in our mind, nothing very dramatic. And as we announced now today, we continue to perform well in the market and above market growth, of course, but I think it's fair to see some level. But again, we do not observe that as a dramatic in our mind. In terms of the competition, we obviously have strong competitors. There are several strong players in the industry. I think that's the case. We are not seeing a dramatic change in price competitive behavior. I think we have talked about the industry as slightly stronger volume growth than value growth. That's probably still what we observe and not any recent dramatic changes in our mind. And also when it comes to ourselves, I mean we have a strong offering in the market. We take a lot of effort to have pricing discipline to make sure we get the value out of that offering. And the second half, you're of course absolutely right. I mean, with the planning assumption and guidance we are confirming today and the upper half of the planning assumptions for hearing, we see a strong second half in front of us as well. We believe very much in the strength of the Nexia offering. We now have a full set of form factors and further augment now also with new fitting software enhancement and a strong execution. And we are also encouraged by the broad-based success initially. As you know, we launched in US and it was a lot about US success. Now we also see, I mean, growth -- above market growth around the world. So, we believe very much in our offering and what we have in the market and as such, believe these are the right planning assumptions for second half.
Veronika Dubajova: Okay, excellent. I'll jump back into the queue. And if there's time, I'll come back on enterprise. Thanks, guys.
Peter Karlstromer: Thank you.
Operator: Next question is from Maja Stephanie Pataki with Kepler Cheuvreux. Please go ahead.
Maja Stephanie Pataki: Yes, good morning. I would like to start with hearing as well on the question. First of all, circling back to Veronika's question about the second half of the year and holding up with a good momentum, it would be interesting to see how you think about the market because we are entering tougher comparisons on the market growth rate. So that might be -- that might have a negative impact. And then you have mentioned that you've taken the entire environment into account when you were making your projections for the second half of the year. Does that also include the most recent product launch from one of your competitors? That's the first question. The second question, would it be possible for you to give us a bit of an indication of how your customer mix might have changed over the last two years, given that you've been outgrowing the market so much? It would be interesting to see whether the share of larger accounts has increased over the last two years or whether the success that you've had over the last two years has really been broad-based. Thank you.
Peter Karlstromer: Thanks for your questions. Again on second half, for hearing, I think it's right that we are meeting tougher comparisons. We had a quite tough comparison in this quarter as well. We're growing 10% on top of the 15% we grew a year ago. So, we are well aware of that. I think to counter that, we now also have Nexia broadly more launched on a global basis. So that helps. And we believe that this is still the right planning assumption. And have in mind, it is, of course, still a range, and -- but that range should take into account alternative things that can happen in the second half. When it comes to the competitors, we assumed in the beginning of the year that there will be competitive launches from more than one of our large competitors. And that has now taken place. And so, I think we have factored that in. And with that said, of course, the recent launch here is new. We don't fully know how it plays out. We don't have all the market observations, but we certainly have had that in the planning assumption. So, I think that -- that should be taken into account into the way we talk about this. Then, if we look on the mix over a longer period of time, I think there are few things that you can -- how you can relate to this. I think it's the situation that for several quarters and over the two years, you refer to our US business have grown faster than the rest of the world. So that has -- of course, have led to a proportion of somewhat larger US business. When it comes to the key accounts, it's true that we've been driving a great success with a few of them, like Costco here in Australia and so on. So, I mean, marginally, that's probably been driving this up. With that said, I think it's important also to recognize that in every period, we have been growing broad-based. It's not been any lucky strikes in a few places. So -- and even in this quarter is a broad-based growth across channel types, across, I mean, countries and regions. So, the mix have not dramatically changed over this period. But of course, there's been some gradual change, but nothing that we're worried about. We believe we have a broad-based exposure to the market and it's actually something that's very important for us as we are building our planning and our business going forward.
Maja Stephanie Pataki: Thank you very much.
Operator: The next question is from Niels Granholm-Leth with Carnegie. Please go ahead.
Niels Granholm-Leth: Thank you. Could you talk about your divestment plans and whether you have additional divestments planned for the coming quarters or a couple of years? Secondly, could you talk about your expected release of net working capital for the second half? Thank you.
Soren Jelert: Hi, Niels. This is Soren, and I'll take both of these two questions. As we also spoke to back in quarter one and also during the Capital Markets Day, last year, we did safely land the first billion of the $1 billion to $2 billion in divestments. And back then already we said that in the event that we have assets where we might be able to find a better home for them and that can flourish, we would continue to trim. And I think the latest we have done with Dansk HoreCenter is a very good example of that, where we believe that the retail was not within our strategy. Hence we sold that off to an area where we believe they could be better equipped to drive retail than we were. So we continue completely in line with that strategy, that if we have assets where we can find a good home, then we will dispose that. But we are not in a fire sale mode at all. So we have the time to mature the assets or improve the performance of assets. So that strategy has by no means changed at all. When it comes to net working capital, we are of the belief that we will improve here during the second half of the year. It will be led by further inventory depletion likely, and then probably a little better payables and then receivables, maybe a little headwind depending on exactly when in the year the revenue will come in. But overall, we expect a net positive -- net working capital impact of the cash flow for the full year.
Niels Granholm-Leth: But I would presume that the increase to net working capital in this quarter is mostly driven by the consumer part and the wind-down. Shouldn't we see the full recovery of receivables related to the consumer part in the second half of this year?
Soren Jelert: Yes, there will be. We definitely see that the wind-down is net positive for us in net working capital, both in terms of inventories and receivables. Absolutely, you're right on that one. But I'm also saying that, of course, depending on when the revenue comes in, that also might tie up some net working capital that spills into next year.
Niels Granholm-Leth: Great. Just for the divestment of Dansk HoreCenter, for how long have you locked in shipments -- wholesale shipments to Dansk HoreCenter?
Soren Jelert: We haven't actually commented on that, but essentially, it will transfer quite quickly.
Niels Granholm-Leth: Okay, thank you.
Operator: The next question is from Martin Brenoe with Nordea. Please go ahead.
Martin Brenoe: Hi. Thank you very much for taking my questions. I just have two, if I may. The first one would be on the enterprise market. Did I hear you correctly, Peter, when you were saying that the enterprise headset growth right now is trending flat for you? And does that mean that you are actually trending in a positive enterprise trajectory with the video on top of the headset sales that you're having today? That is the first question. The second question is on the margins. I guess that even if we do the adjustments on the special items today, you're trending around 12% EBITA margin. How likely are you to reach the high end of the guidance which I guess would take you above 15% EBITA margin in the second half of the year? And is there also a risk that you might not reach the low end of your EBITA margin, given that you are still, as you say, seeing tougher comps in hearing and the enterprise being pushed out a little bit? And that would be my questions. Thank you.
Peter Karlstromer: Let me start with the first one. It is the case -- I mean, we're seeing some different market performance across categories. And when it comes to headsets, that is now in something that is around flat territory. I think we're a little bit careful exactly what to expect in the short term. But that has, of course, been a very good trend. It's been going a bit up and down, month to month or so, but it's been trending stronger. And in the quarter, it's around flat. We have seen some growth on the video systems, but from a small basis, not so much influencing the overall reported enterprise number. But what is a significant headwind for us in the quarter that is getting us to the negative 3% are the speak category. And I think there are two things going on. The speak category overall is in a declining pattern, likely because there is more and more conference room now that are equipped with video instead. So some of the use cases of speaks are replaced by video. And then also a year ago, it was quite close to the launch of the second generation of speaks we did. So, our own business had a very strong period a year ago, so we're seeing some headwind there as we look on the aggregate growth. So I think, I mean, just to reiterate what I said here earlier, we believe what we see is healthy and in line with what we expected to see. I think it's fair to say that it's coming a few months now later than what were our kind of base case initially. But still, there is a lot of encouraging signs for it to gradually take place. I think that's how to think about it. And the margin question, I think, Soren, you can take that one?
Soren Jelert: Yeah. Specifically on the margin, I think also, as Peter and I actually alluded to in the opening, we're very pleased to see the margin lift up. We've seen both in quarter one and quarter two, and it's really nice to see this across our divisions. And actually, we can also see the synergies coming in. You're absolutely right that we have seen underlyingly around 12% EBITA margin for both quarter one and quarter two. And of course, if we are to hit the [12% to 13%] (ph), you're right that we need to yield somewhere between 14% and 15% margin in the second half. So essentially, we need to have a -- see a climb of approximately 2% to 3% in the second half of the year. Two things for that to be true is essentially that it is always like so that our top line is skewed towards the second half of the year. Now we have 48% of top line lying in first half normally, and 52% in the second half. So that would definitely yield economies of scale. And that's also what we plan and expect. But equivalently also that -- on top of that, we are seeing the synergies coming home, which actually will, of course, improve underlyingly gross margin, but actually also our OpEx base. So in that sense, this is the reason why we are very satisfied with the 12% so far. And why we say on the full year scale, we're 12% to 13%, so that's our reading and that's the reason why we kept that.
Martin Brenoe: Makes a ton of sense, Soren. And just, Peter, quickly, the follow-up question. Have you -- you got seven weeks of data now in Q3. Is there anything pointing towards enterprise should return to growth? I guess that you need some confidence from sort of improving trends here in Q3 to say that you expect going from minus 3% to a positive trajectory. Can you maybe tell me a little bit about that?
Peter Karlstromer: We are basing that statement on many observations, including, of course, the visibility we have into the business. And the best estimate we have is that the return to growth will take place in the -- towards the end of the year. So that means that for Q3, I think a base planning assumption is probably that we will not see growth in Q3 for enterprise, but hopeful that it will come towards the end of the year.
Martin Brenoe: Got it. Thank you so much, you two.
Operator: Next question is from Julien Ouaddour with Bank of America. Please go ahead.
Julien Ouaddour: Hi. Good morning, everyone. Thanks a lot for taking my questions. I'm going to start just in hearing just about the technology here. So we have seen now three of your main competitors going into the deep neural network technology. I was just wondering, is it something that you could also consider in the future? Can you do such investments and basically how long it would take you to catch up on, like, on this technology? Second question, still on hearing in terms of margin for the call hearing. So you still target 18% to 20% for the full year. If we adjust for the pension in Q1, you delivered roughly 18% in H1. So can you remind us what are the key drivers to reach the 20% for the full year, so the upper end of this guide, and also do you see channel mix being a kind of headwind to reach the 20%? And my last question on enterprise, so I'm just a bit surprised because in the past, you said that, I mean, PC shipments, I mean, we should see a sort of one to two quarter max lag between the growth there and the growth with headsets. So, we're not seeing growth in headsets. And now we expect it to come only at the end of the year. So why did it change basically? So any -- like any color would be helpful. Thanks.
Peter Karlstromer: Thank you so much. And let me start with DNN. And this is essentially the next -- I mean, the next generation of machine learning. I think that's the way to think about it. And in some aspects, we also call it AI. This is clearly a technology evolution that will make sound processing even better. So it's very much something we believe in. I think it's also a good example of where One-GN will benefit us. We have a strong team across the company really spending time and have been doing for quite some time to understand how to build the leading algorithm, machine learning, and also how to realize this in our products. I think that you should expect over time that this is the technology we will adopt across our portfolio and something we pay a lot of attention to do really well. And exactly when we launch it in different products, I would like to refrain from saying today, but it's certainly a technology evolution. We're very much on top on and believe in. And while I'm talking, I can take the third question also while I leave the second to Soren, I think you're right. We have said one to two quarters lag in the correlation of PC shipments. And so, I think it's just reality. We have observed this over a few downturns, so there's not too many data points. And as we discover this return to growth, it is slightly different than what we anticipated. At the same time, not a lot different. So I wouldn't draw too negative conclusions from that. I mean, I think it's very positive that we see enterprises spending on hardware, spending on PCs, also other types of hardware, and that overall kind of spend is increasing is certainly lending support to our category also over time. So that's probably the way to think about it.
Soren Jelert: And when it comes to the hearing side, I think it's really encouraging to see the development our hearing business have done in quarter one and quarter two, and it is still assisted by the next year. As we said, it's still assisted by the good quality. And finally, we definitely also see the support of the synergies. And of these -- all of these, actually, we can see that there is a leverage point also towards the second half of the year. And even in hearing, although one might think that it's balanced H1 against H2, we actually do have a higher revenue, typically also in hearing in second half of the year. And for us, of course, it's a paramount importance that next year continues to perform well. And we have all the good reasons to believe that's exactly what we're seeing in the market. So for our sake, I think we are definitely on the right track to the 18% to 20%, as we've also said along the way. So we stand firm on that and definitely believe that the hearing is on good track.
Julien Ouaddour: Thanks a lot. And just maybe, like, if I may, to add a quick follow-up. I mean, one of the competitor also suggests that, I mean, the share of wallet with Amplifon has changed, let's say, like recently. I mean, did you see your share of wallet increasing with them? And let's say, like, the next part of this question will be like a follow-up to Maja's question. Your mix with large chain and large customer has evolved, let's say, like increased in the past couple of years. These customers really put a lot of pricing pressure, let's say, like over time. How do you see your core hearing margin evolving, let's say, like in the mid-term, given the mix change?
Soren Jelert: I'll take the last one here on the core mix. I think what is important to understand, and we also have been speaking to it a couple of times also, when we compare sometimes BelAudicao being retail, and then gross margin is underlying, actually even better this time than it was a year ago if we adjust for BelAudicao. And for us, it's also, bear in mind that there is a cost to serve. So some of these where we have less cost to serve here, Australia, Costco, et cetera, that's actually yielding a good margin for us. And that's where we have seen a continued good possibility with them, especially due to the good product portfolio we have, that definitely also yield a good sell-out of hearing aids from their stores, right? So in that sense, we think it's playing out as we expected, with lower cost to serve. And actually, they are happy and we are happy.
Julien Ouaddour: Thanks. And just the -- like, the question about Amplifon, is it like -- is it fair to think that you've gained a bit of share of wallet with them this quarter?
Peter Karlstromer: I mean, on Amplifon, we are not commenting on individual relationships in that way, but maybe I bring it back more to the overall momentum. I think we are growing faster than the market in aggregate across all three regions. Amplifon is a large player, so I think we have a good relationship with Amplifon, a relationship built over a longer period of time. But I little bit refrain from commenting on the short-term development there.
Julien Ouaddour: I fully understand. Thanks a lot.
Operator: The next question is from Robert Davies with Morgan Stanley. Please go ahead.
Robert Davies: Good morning. Yeah. Thanks for taking my questions. My first one was just on the gaming and consumers segment. I think in the release, you called out the strength of the gaming segment. I was just wondering if you could provide us a bit more color in terms of the dynamics of what's going on there across the different regions. That was my first question. And then the second one was just on the development of operational expenses. So between your divisional profit and your EBIDTA line, what are your expectations there heading into the second half, and how the kind of comps in those different subsegments would change year-on-year? Thank you.
Peter Karlstromer: Thanks a lot. If we look in the gaming business, we do not see a dramatically different level of growth success across the regions. We are managing to grow the business well around the world, and we have for a longer period of time, been growing faster than the market. And I think it's really a combination of factors. I mean, I think we're launching great products appreciated by the gamers, but also products are very much augmented by software. We have over the years, developed a very strong software suite tying together all our different products and allow it to tune them to the different games gamers are playing, to allow them get a better experience, but also to allow them to win more, which is very important for gamers. And that's why the gaming enthusiasts really appreciate the products and offerings from SteelSeries. So I think that the innovation around products and software, I think, is really in the heart of the success. And I mentioned the Nova 5 headset we launched now for consoles is just another good example of that. It's been very well received in the market. So we believe we will be able to continue to grow our gaming business above market growth rate, thanks to the strong innovation pipeline we have there, and a great team executing very well. So, Soren, maybe if you can take the next one.
Soren Jelert: Yeah. On the G&A here specifically, I think it's -- what we are doing right now is that we are, of course, modernizing within in terms of our IT investments. And IT, for us, reports under the G&A, but actually also, as we disclosed at Capital Markets Day, we have now established a shared service center in Poland, and that will not yield returns until the start of next year and beyond that, because we have sort of had to double -- double book, you could say both people in the different units and then establishing the admin -- the shared services in Poland. So for us, I think the level you're seeing now is likely going to continue in this year. And then over time, as we also said in the Capital Market Day, the ratio compared to the top line is going to improve as we do believe that we can yield economies of scale with the infrastructures we are now setting up and with the shared service centers we are now setting up.
Robert Davies: Okay, understood. Thank you.
Operator: The next question is from Mattias Haggblom from Handelsbanken. Please go ahead.
Mattias Haggblom: Thank you so much. Two questions, please. Firstly, with the wind-down of consumer, I'm curious to hear how we should think about gross margin for gaming and consumer once that is accomplished. Consensus appears to be more than 30% for '25. Is that the right magnitude to think about? And then secondly, on enterprise, coming back to the return to growth, which is somewhat delayed and now expected towards the end of the year, would you say you're confident that you will return to growth is higher today compared with a quarter ago, which supports some of the green shoots you're seeing? Or is it still mainly based on the expected correlation from PC shipments finally translating into growth for headsets? Thanks so much.
Peter Karlstromer: Thank you. Let me start with the enterprise one. No, we are confident that we are returning to growth here over time. And what I mean with that is that, as I said, the base planning assumption is now towards the end of the year, that the market will return to growth. And being a large player in the market, we then clearly have the ambition to do that for our business as well. And if we are more confident, I will say probably yes, we see a bit more, we are closer to it. There is an improvement in the market. And even if we are fully not there, every period shows sign of improvement vis-a-via the previous period. So in that way, I think the confidence is returning. And let me also say that the confidence in the market growth more structurally is very high. This is about hybrid work, working remote, I mean, working in different ways, more modern way of working. I think most new offices are somewhat smaller, more open floor spaces and require more technology to really perform well, to have the employees to collaborate in the right way. So all in all, the structural growth drivers we very much believe are in place. And I think we are on our way to getting back to that structural growth. And I mean, the way we talked about that on the Capital Market Day is 3% to 5% for the headset category and around 10% to 12% for video system and we very much believe in that.
Soren Jelert: And then when it comes to your gaming questions, as we also spoke to, I think we've seen a very positive development in gaming consumer combined. And if you look at it isolated on gaming also here, we are seeing an improvement. And when you look to gross margins, we are sort of on the 30% mark in the second quarter. And definitely, that's also where we expect that it's going to go going forward. Bear in mind that quarter two is still a low quarter. So, we will always expect to see economies of scale towards the later quarters. I mean, gaming always have a fourth quarter. That's the highest also from a historic base. And then when it comes to the future outlook, we are still of the opinion that we can improve and are improving the profitability of gaming. And that is not deviating from what we said at the Capital Market Day, not at all.
Mattias Haggblom: Thank you so much.
Operator: We have a follow-up question from Veronika Dubajova with Citi. Please go ahead.
Veronika Dubajova: Hi, guys. Thanks for squeezing me in at the end. Just a quick one on enterprise and the competitive environment that you're seeing. I know we've talked a lot about the market environment, but just curious if you're seeing any changes in particular when it comes to your largest competitor. Thank you.
Peter Karlstromer: Thank you so much. No, I wouldn't say so in the most recent periods. I would say over a longer period of time, of course, as we know, the acquisition of HP and Poly was quite a significant change in terms of the industry structure. And that's probably led to some change for the top accounts. But then also I think that it opened up some possibilities in other place of the market. So, I think it's been more gradually changing market rather than anything that has been going in any kind of fast way. And I also to reiterate that over this period of time, I think we have maintained our high market shares in a very good way, even slightly increasing them over the last couple of years, while also maintaining healthy margins. So, we believe we're able to navigate this gradual change in the competitive landscape in a good way. So feel relatively confident about doing this well.
Veronika Dubajova: Excellent. Thanks, guys.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to the management for any closing remarks.
Rune Sandager: Thank you very much, operator, and thank you everybody on the call.